Operator: Good morning, and welcome to PROREIT's Fourth Quarter and Annual Results Conference Call for Fiscal 2025. [Operator Instructions] For your convenience, the results release along with fourth quarter and fiscal 2025 financial statements and management's discussion and analysis are available at proreit.com in the Investors section and on SEDAR+. Before we start, I have been asked by PROREIT to read the following message regarding forward-looking statements and non-IFRS measures. PROREIT's remarks today may contain forward-looking statements about its current and future plans, expectations, intentions, results, levels of activity, performance, goals or achievements or other future events or developments. Forward-looking statements are based on information currently available to management and on estimates and assumptions made based on factors that management believes are appropriate and reasonable in the circumstances. However, there can be no assurance that such estimates and assumptions will prove to be correct. Many factors may cause actual results, level of activity, performance, achievements, future events or development to differ materially from those expressed or implied by the forward-looking statements. As a result, PROREIT cannot guarantee that any forward-looking statement will materialize, and you are cautioned not to place undue reliance on these forward-looking statements. For additional information on the assumptions and risks, please consult the cautionary statement regarding forward-looking statements contained in PROREIT's MD&A dated March 4, 2026, available at www.sedarplus.ca. Forward-looking statements represent management's expectations as at March 4, 2026, and except as may be required by law, PROREIT has no intention and undertakes no obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. The discussion today will include non-IFRS financial measures. These non-IFRS measures should be considered in addition to and not as a substitute for or in isolation from the REIT's IFRS results. For a description of these non-IFRS financial measures, please see the fourth quarter and fiscal 2025 earnings release and non-IFRS measures section of the MD&A for fiscal 2025 for additional information. I will now turn the call over to Mr. Gordon Lawlor, President and Chief Executive Officer of PROREIT. Please go ahead.
Gordon Lawlor: Thank you, Sylvie. Good morning, everyone, and welcome. Joining me today is Alison Schafer, our CFO and Corporate Secretary. Zach Aaron, Vice President of Investments and Asset Management, is not joining us today as he has a new bouncing baby girl as of last week. Congrats Zach and Julia on his proud new parents. I'll begin with an overview of our fiscal 2025 and fourth quarter performance before turning the call over to Alison for a more detailed review of our financial results. We're very proud of our performance in 2025, which marked a major milestone for PROREIT as we completed our transition to a pure-play industrial REIT focused on small and midday properties. I want to commend our entire team. Achieving this strategic objective established 3 years ago reflects the disciplined execution and commitment of our employees. Over the course of the year, we repositioned our portfolio, strengthened our balance sheet and enhanced the overall quality of our platform to support sustainable long-term growth. At year-end, our portfolio comprised 105 investment properties, totaling 6.4 million square feet of gross leasable area. Weighted average lease term to maturity was 4.3 years compared to 3.8 years at the same time last year. In line with our capital recycling strategy, we sold a total of 17 noncore properties during the year for gross proceeds of $71.2 million. We also acquired a portfolio of 7 high-quality industrial properties in Winnipeg, Manitoba from Parkit Enterprise, Inc. for $101.9 million. By the same token, we struck a strategic partnership with Parkit to pursue future growth opportunities. As part of the transaction, we also successfully raised $42.1 million of equity, further enhancing our financial flexibility and positioning the REIT for future growth. As of year-end, industrial assets represented 90.5% of our base rent compared to 80.8% a year ago. The enhanced earnings profile of our industrial-focused portfolio is reflected in our financial performance. NOI rose by 9.6% in the fourth quarter and 8.4% for the year despite owning 10 fewer properties. Turning to the portfolio transactions during the year. We completed the sale of a noncore office property located in St. John, New Brunswick, totaling approximately 51,000 square feet for gross proceeds of $7.2 million. We continue to manage that property on behalf of the purchaser. And the sale of our noncore retail property in Rocky Mountain House, Alberta, totaling approximately 5,000 square feet for gross proceeds of $400,000. Net proceeds for these sales were used to repay related mortgages, credit facilities and for general corporate purposes. Leveraging our partnership with Parkit, we purchased an industrial property in Winnipeg from them for $5.4 million as we continue to increase our presence in this market. Purchase price was financed through $3.2 million of the non-revolving credit facility and approximately $2.1 million of PROREIT equity priced at $6.20 per unit to Parkit. Subsequent to year-end, we engaged in 2 additional transactions. First, we sold our 50% interest in a noncore industrial property in Dartmouth, Nova Scotia, totaling approximately 65,000 square feet with our share of gross proceeds of $5.7 million. Second, we're in the process of acquiring a 100% interest in a single-tenant 2024 built 10-year leased industrial building in Milton, New Brunswick, totaling approximately 60,000 square feet of GLA for $12.3 million. Our focused presence in robust secondary markets continues to deliver compelling results. According to CBRE, our core markets of Halifax, Winnipeg and Ottawa all outperformed the national average in terms of market rent growth in 2025. Turning to leasing activity. Our leasing momentum was sustained throughout the year, driven by contractual rent escalations as well as stronger renewal rates and higher rents on new leases. As of today, we've secured 80.1% of GLA maturing in 2025 at a positive average spread of 34.2%. Excluding the St. Hison property, which I'll address shortly, we've renewed 95% of our 2025 GLA. We've also secured renewals on 68.2% of GLA maturing in 2026 at a 33.8% positive average spread, reflecting one of the strongest leasing cycles at this stage in our history and providing meaningful embedded growth heading into 2026. This includes, among other transactions, 5 leases renewed starting in 2026 with rent increases ranging from 40% to 45%. Overall portfolio occupancy was 95.4% at year-end compared to 97.8% a year earlier. As noted on previous calls, our occupancy rate was impacted by a single vacancy in a 176,000 square foot property located at 6375 Picard Street in Saint-Hyacinthe Quebec. On February 27, we entered into a nonbinding offer to lease for approximately 74,000 square feet at this property to a new tenant for a term exceeding 10 years at a market rent. Subject to the completion of the binding lease, rent commencement is expected mid-2026. Including this property, our portfolio occupancy would have been approximately 98.1% at year-end. With that, I'll now turn the call over to Alison. Alison, over to you.
Alison Schafer: Thank you, Gordie, and good morning, everyone. We are pleased with our fourth quarter and full year results. In the quarter, property revenue totaled $26.2 million. That's up 5.4% year-over-year despite owning 10 fewer properties. The increase is mainly driven by contractual increases in rent and higher rental rates on lease renewals and new leases. For the full year, property revenues amounted to $104.1 million, up 4.9% year-over-year. Net operating income, or NOI, was $16.1 million, an increase of 9.6% compared to last year due to the same factors. For the full year, NOI amounted to $63.4 million, which was up 8.4% year-over-year. Fourth quarter same-property NOI, representing 98 of our 105 properties reached $14.1 million. That was up 8.1% year-over-year, driven by robust 9.1% growth in our industrial segment. The increase reflects contractual rent escalations, stronger renewal rates and higher rents on new leases. This was achieved despite a decline in overall average occupancy related to the single tenant vacancy Gordie mentioned earlier. For the full year, same-property NOI reached $53.0 million, up 8% year-over-year. Our funds from operations, or FFO, amounted to $7.8 million for the quarter, which was up 14.3%. This was driven by increases in contractual base rent, higher rates on renewals and higher rental rates on new leases. This was offset by an increase in interest and financing costs. Basic AFFO payout ratio was 99.1% in Q4 compared to 96.1% for the same quarter last year. This is primarily driven by the timing of the sale of 17 properties we completed in 2025, an increase in interest and financing costs and the issuance of equity in connection with the Parkit transaction in Winnipeg. We expect improvement on our payout ratio, creating some financial flexibility and some room for future acquisitions. The weighted average capitalization rate of our portfolio was stable year-over-year at approximately 6.7% at December 31, 2025. Moving on to our balance sheet. Adjusted debt to annualized adjusted EBITDA ratio came in at 9.0x at December 31, 2025. That was down from 9.2x at the previous year-end, while our adjusted debt to gross book value decreased to 48.8% from 50.3% at the same time last year. Our midterm goal is to reduce our adjusted debt to adjusted EBITDA ratio and adjusted debt to gross book value further as we continue to grow the business. At year-end, our total debt, including current and noncurrent portions, totaled $525 million compared to the $531.1 million at September 30, 2025, and $499 million at December 30, 2024. Looking at our upcoming maturities. In 2026, we have $157.1 million maturing. We are actively engaged with lenders on these maturities and expect to secure refinancing on competitive terms with robust refinancing proceeds. In 2027, we have another $48.7 million maturing, mainly tied to high-performing industrial assets in Burnside Industrial Park. And for 2028, we have $59.8 million of maturities. The weighted average interest rate on these mortgages is 3.7% for 2026. 4.8% for 2027 and 3.5% for 2028. Finally, our distribution of $0.0375 per unit was maintained for the fourth quarter of 2025. That wraps up our financial review. Gordie, back to you for closing remarks.
Gordon Lawlor: Thank you, Allison. We're entering 2026 with a clear strategy and a focused industrial platform, supported by disciplined financial management. Our priority remains the pursuit of high-quality opportunities aligned with our prudent value-driven approach to growth. Fundamentals across our small and midday portfolios remain healthy, and we're seeing signs of improving market conditions as we move through 2026. With this strong foundation, we are well positioned to strengthen our leadership position in the Canadian light industrial sector and create sustained long-term value for our unitholders. Thank you. Sylvie, back to you for the question-and-answer period.
Operator: [Operator Instructions] And your first question will be from Sam Damiani at TD Cowen.
Sam Damiani: [Operator Instructions] Just on your comments, Gordie, and I guess, Allison, too, just with the NOI growth being very strong and you're seeing improving market conditions as you enter the new year, your leverage did tick down below 49% with the asset sales that you've completed. I mean, are you seeing a better path, an easier path, I guess, to bring that leverage toward those midterm targets now than, let's say, was the case a year ago? Like are we -- should we be building in some expectations for that leverage to stay further below 50% going forward?
Gordon Lawlor: Thanks, Sam. I think where we are right now, I mean, I like us being around the 50%. I know we have that 45% target -- to [indiscernible] fully get there, we need to tie it into a larger deal with some equity. So really, what we're focused now is just staying around the $50 million. When we talk about where we are, I mean, we have room for about $40 million in acquisitions right now, and we'd like to see if we could execute on that. We announced a $12 million -- great $12 million asset here. So probably room for another $25 million or $30 million. So you'd probably see that before we focused on the debt reduction. We've been so focused on the debt reduction since 2022, and we just want to have this opportunity. We see a lot of assets right now in the market. So there's some opportunities here to add about another $40 million to the math. And then we're still mindful of the 50%, we wouldn't go above that other than if it was on a short-term basis or anything. But the 48.8% is where we ended up the year, but we'd probably pick that up a little bit if there were some good acquisitions.
Sam Damiani: That's helpful. Just looking at the lease expiry schedule, you've got 17% expiring in 2027. I assume the government is a decent chunk of that. I mean, do you have any early prospects on extending those? Are there any larger expected departures within that cluster of leases?
Gordon Lawlor: I mean we're reaching out to everybody in 2027. It's a little early on that basis. We have no real inclinations of any big spaces coming back at this point in time for 2027. And we have A big chunk of that is under market rent as well. So we don't really have a negative view of anything on as far as 2027 goes at this point in time. But obviously, we're just getting going on it.
Sam Damiani: Okay. All right. That's helpful. Last one for me, just on Picard Street and St. Haison. You've got, I guess, that lease that's almost across the finish line. I'm just wondering what's left to finalize there with that? And also any update on prospects for the remaining 100,000 square feet of that property?
Gordon Lawlor: Yes. So I mean I just signed the LOI like Friday night. So that's fresh, but we've been dealing with this tenant for 3 or 4 months. So we're well through that. We're crossing lease drafts and things like that. And if all things move well, they'll be into the building in April for some setup of some work to be done. So it's nonbinding, but everybody in good faith is working towards this one. It seems like a very good group we have here. So -- and backs off for a couple of weeks. So it's landing on my plate. So pushing it through to get it across the line, obviously. And as far as other prospects, nailing that piece down, if you were to look at the building, that's the half of the building facing the 20, the TransCanada Highway there. That leaves another 100,000 in the back of the building. There's good shipping in the back right of that building and then a little bit of shipping in the back bottom of the building. So it can be split in 2 more pieces. We're in initial discussions with another 60,000 square foot tenant right now, maybe short-term or midterm type storage. opportunity on one piece of the space without having to do anything to the building. But literally, we just started that this week because we've kind of secured the other piece.
Sam Damiani: Okay. And you're getting rents that's sort of in line with the kinds of numbers you were talking about last quarter? Yes, higher than 9%, lower than 11%.
Operator: Next question will be from Mark Rothschild at Canaccord.
Mark Rothschild: Just following up on the discussion of same-property NOI growth and leases. You started answering or talking about 2027. To what extent do you believe that this wide leasing spreads that you're achieving will continue past 2026?
Gordon Lawlor: So we have 5-year cash flow, Mark. I think we told you that before. So we still see the 7% to 9% cash flow growth across '26, '27 and '28 at this point in time when we -- when you get out to '29 and '30 and you're 4 and 5 years out, you're in other leasing assumptions and terms. But we see good strength for '26, '27 and '28 for sure.
Mark Rothschild: When you just say cash flow growth, do you mean same-property NOI growth? Or do you mean actual cash flow FFO?
Gordon Lawlor: Cash flow FFO.
Mark Rothschild: Okay. Great. And maybe just one more for me, quite a bit of debt maturing this year. Can you just give a little more clarity on what rates you're seeing now and what we should expect based on the current market?
Gordon Lawlor: Yes. I mean it's a great time to have debt coming due it seems other than all the terrible things going on in the world, like 3 lenders are a big piece of that. We're trying to secure some of that now. We've got good competition among the lenders. So I think we'd be -- and we just signed a $29 million 7-year brand-new piece with a new lender at $158 million over 7 years. So I mean that's a pretty solid rate for us. I think $155 million over is the best rate we've ever had on a margin basis. So I think we'd be -- depending on when we pick the terms, we're trying to break this $150 million up in the next number of years. So we may take some 3-year piece of this some 5, obviously, and then there was an attractive 7% here. So we're trying to split this one up a little bit more. We bought $300 million of assets in '21, which got us to the point where it was mostly all 5-year money that was available then. So we're trying to split that up. So the long story short, I'd say we'd be at about 4.5% on all of it. We'll probably get some 4.3s and then 4.6s is for the longer-term stuff.
Operator: Next question will be from Brad Sturges at Raymond James.
Bradley Sturges: Just maybe switching gears a bit. The asset sale that you completed to start the year in Halifax, just curious to get a bit more color in terms of the decision around or what drove that decision to sell that asset? Is it kind of a one-off? Or do you see potentially more rebalancing within the industrial portfolio?
Gordon Lawlor: Yes, that's give or take, a one-off. I mean that's a joint venture asset with our partner who has a view on the portfolio, obviously. This asset was a little lower ceiling height than the rest of it, kind of orphaned in a different spot in the park. And so which we agreed with at the time just because I've known the asset for several years. We've got it secured now with some longer-term leases, so kind of full value. So I thought it was a good time to see if we could sell it. And we sold it just a slight premium above our IFRS value. I think it was $175 a foot or something like that. So we don't have significant discussions with towing of assets out of the JV. I mean we sold a small $3 million, $4 million retail asset, that type of thing. So it's just calling on the edges more than a sale program on the JV entirely, Brad.
Bradley Sturges: Great. And can you comment on what the exit cap rate might have been?
Gordon Lawlor: Don't exactly know. I would say it would have been slightly below 7. I don't have Zach here today with the math on it. But it was -- I'd say it would have been just below a 7 from 3 quarters perhaps.
Bradley Sturges: And then obviously, you bought something in Moncton. Maybe just expand on the opportunity you see there with that acquisition. And then maybe what else could be in the pipeline from an acquisition opportunity?
Gordon Lawlor: Yes, that's an asset, brand-new build asset that we've been monitoring. I think we gave our first offer on that back in April of '24, and we couldn't agree on a price. So it came up again, there was a rent step that happened, which made it easier to make the math work. So that was just a one-off asset that we've been watching and saw it being built and leased, and we like it a lot, and that's a long-term hold for us. As far as other assets, the -- publicly, the RFA Artis has 1.2 million square feet portfolio came out here a month ago. There's Winnipeg assets in there, which is obviously be of interest to us. I bid on an asset in single-tenant asset in Quebec City last week, just a quiet offer. So there's -- like there's a couple of million -- hundred million of real estate kind of sitting around my desk that we're getting quiet looks at or things like that, that some of it will stick. So it's a very interesting time actually. It seems like things are loosening up, and we're going to see some real estate come on here in the next 6 months, which is positive.
Operator: Next question will be from Tal Woolley at CIBC Capital Markets.
Tal Woolley: Apologies if you answered this before, but just any significant dispositions planned for 2026?
Gordon Lawlor: No, not for 2026. We're I just looked it out and can't keep track of what's coming in and out the door anymore.
Alison Schafer: No, we don't have any.
Gordon Lawlor: No, no, we don't have any plans. I mean what we have left on the retail basis is grocery anchored on our line of credit, honestly. So it's like, honestly, just a pain to sell it. You'd have to replace it with other things. We might have one more office building towards the end of the year, small office. You can figure that one out. And then we're still holding the 60,000 square foot Ottawa office building. That's got debt on it at 2.9% until 2029. Good solid asset. I think it's still 80% occupied. I think we leased a floor but there were some other tos and fros. So it's still performing very well. And we have no need to fire sale that. That's a good asset. So yes, nothing big planned at this time. Like I said, we're going to try to put a few more assets on the books here with a little bit of room we have and then let the cash flow growth to keep these buildings leased obviously.
Tal Woolley: Got it. And then maybe you can talk just a little bit about -- there's been a lot of chatter around defense spending, and that matters a lot in markets in the East. I'm just wondering, are you seeing sort of anything really translate on the ground yet in terms of demand? Or how should we think about that tailwind maybe coming to the market over the next few years?
Gordon Lawlor: Yes, I sat in on the Burnside leasing call Tuesday. Every 2 weeks, we have a detailed call where you go through every 2,000 feet. It is a bit painful, but and Zach's absence. I think there's some RFPs out there for some larger space and that I go around the country talking about the defense spending, too. I think where it will help Halifax is the construction around all of that. That's what Burnside is construction related. They're going to let more people back in this country again, and they'll land in Halifax as well. So I think it's really the defense spending because of what will go on around it versus a specific defense contractor taking space from our small base standpoint at least, right? So I think [Killam] would probably have that same view on that. I didn't listen to their call. But I think that's the piece of it. And then just the defense spending in general, I mean, we have 128,000 square foot leased in Canada, Ontario, that's Thales, a French contractor. That's related to the Halifax project, but they're in Ontario. So it's not specific to Halifax. It's just in general, it could help defense contractors across Canada taking more space, I think it will be helpful.
Tal Woolley: Okay. And then just lastly on -- are you looking at any sort of developing more new nodes? I think it's something like Quebec City, where I think you've got one property right now. Any interest in building out other sort of nodes within the portfolio over the next couple of years?
Gordon Lawlor: Yes. I mean Quebec City has been on my list for like 15 years. It's just been hard to buy there. And for those of you who have followed, you know that through the Cominar deal, Blackstone Pure has like 3 million square feet there. So we have an interest in getting into that market eventually as we think some of that real estate will come to fruition. So that's definitely an area that we're interested in. I've been on a single tenant building here just last week. The ask was ridiculous. So I don't suspect we'll get anywhere. But yes, we're cognizant of that market. We've been trying to understand the market rent in the last 3 to 6 months because the rents were pushed there for a while. And we think we've got that figured out now. So we're happy to look there a little more.
Tal Woolley: Okay. And anywhere else across the portfolio, Western Canada?
Gordon Lawlor: Yes. I mean I was out West. I was in Calgary for a few days last week, like the Calgary small Bay market, spent the whole day driving that. There's some big bombers there in Balzac area north, all very fancy, all very shiny, but kind of not our real estate. But the Calgary small Bay market seems to be doing quite well. I've got a trip plan to Edmonton in the next couple of weeks as well to just test that back out. So the concept, as I said, at the Board yesterday, if we're trying to get to $2 billion in assets, we have to look at some of these other secondary markets. If you call Calgary and Edmonton, secondary in Quebec City, you do, I guess. So yes, we're just looking at those opportunities to see if any of it fits in our wheelhouse. So it's an interesting time.
Operator: [Operator Instructions] Next is Demon Liu at Desjardins.
Unknown Analyst: So on 2026 lease maturities, so very encouraged to see the strong leasing spreads so far for almost 70% of those maturities. So do you expect to achieve similar spread for the rest of the 2026 maturities? And do you see any material nonrenewal risks?
Gordon Lawlor: I think we're going to -- I mean, if I look back to '24, '25, '26 yesterday, we've had plus 30% across all of those years. we don't see any indication of that changing significantly. The 70% that's done, a big piece of that is -- I think it comes in, in September. It's about 325,000 square feet from single-tenant temperature controlled building. So that would be more September that we'd see that cash flow. I think we may get 80,000 square foot back in a building in Woodstock, Ontario, probably in Q2. That's just recent. That's great space. We've already got some interest in it already, some tours like just in the last number of weeks. So that would be the only thing that's hitting us right now, probably mid-Q2.
Unknown Analyst: Okay. So lastly, just on the acquisition, like what's your acquisition pipeline look like this year and in 2027? And like which markets and type of assets that you are targeting, if any?
Gordon Lawlor: Yes. I mean, so we're a small mid-Bay folks. So that's what we're targeting. I mentioned briefly, there's some Winnipeg assets in the market right now. We're going to look at that. Quebec City is an area that's of interest. It's 2.5 hours down the road from our head office here in Montreal. Halifax, we look more -- we have 35-plus percent of the market there with our partners. So no need to do too much unless there was something interesting there. We have room for about $40 million in acquisitions right now. And then we announced a brand-new asset, $12 million in Moncton at a 7 cap. So that's really attractive brand-new building for us. So it's just a mix of small and mid-bay assets around our regions. Ottawa is of interest. It's just hard to get assets there. So we're -- there's a lot of real estate that's going to come out, I think, here in '26. So we're going to be poised and looking at it all.
Operator: Ladies and gentlemen, this concludes our question-and-answer period for today as well as the conference call. We would like to thank you for attending and ask that you please disconnect your lines. Enjoy the rest of your day.